Operator: Ladies and gentlemen, thank you for standing by, and welcome to the FutureFuel 2012 Third Quarter Conference Call. [Operator Instructions] As a reminder, this conference is being recorded today, November 9, 2012. I would now like to turn the call over to Mr. Lee Mikles, CEO of FutureFuel Corp. Please go ahead, sir. 
Lee Mikles: Good morning. This is Lee Mikles from FutureFuel Corporation. Thank you for participating to today's call to discuss FutureFuel's 2012 third quarter financial results and business progress. Joining me today is going to be our Chief Financial Officer, Chris Schmitt. I'd like to remind those listeners that comments made during this call will include forward-looking statements within the meaning of the federal securities laws. These forward-looking statements involve risks and uncertainties that could cause actual results to be materially different from any anticipated results. For a list and description of these risks and uncertainties, please review FutureFuel's filing with the Securities and Exchange Commission. Please note that the comment and content of this call contain time-sensitive information that is accurate only as of today, November 9, 2012. FutureFuel disclaims any intention or obligation to update or revise any financial projections or forward-looking statements, whether as a result of new information, future events or otherwise. 
 With that out of the way, I'd like to turn our attention to the third quarter results. 
 The third quarter 2012 results did not show us much growth relative to the third quarter of 2011. In fact, the net income actually decreased 1.4% to approximately $12.5 million. The third quarter, especially the latter part of the third quarter, was a very difficult period for biodiesel. RIN prices were quite volatile and margins were relatively compressed. On a consolidated basis, revenues decreased by 2% relative to 2011. That's $88.3 million versus $90.3 million, and that's both lines of business, biodiesel and chemical, although adjusted EBITDA was up 20% to $24 million compared to $20 million in the third quarter 2011. And as mentioned, the net to income decreased slightly to $12.5 million. I'd like to turn the call over to Chris now. Chris, look forward to your comments. 
Christopher Schmitt: Thank you, Lee, and thank you, everybody, for joining us this morning. Revenues for the third quarter of 2012 fell 2.2% to $88.3 million versus $90.3 million in the third quarter of 2011. 
 Biofuels revenues totaled $47.9 million as compared to $48.1 million in the comparable period from the prior year. Despite the lack of the $1 federal blenders tax credit, demand for biodiesel remain relatively stable in the third quarter of 2012. Chemical revenues decreased approximately 4.4% to $40.3 million in the third quarter of 2012. Revenues from the bleach activator product and sales of the proprietary herbicide both decreased due to a decline of volumetric demand from both customers. As previously disclosed on August 28, 2012, we signed an amendment to our existing agreement with the bleach activator customer. Among other things, the amendment extends the term in the agreement to December 31, 2016, unless terminated earlier in accordance with the provisions of the agreement, and allows us to sell certain formulations of the bleach activator product to third parties as a performance chemical. 
 Revenues from other custom chemicals continued to be strong, increasing 83% in the third quarter of 2012 from the third quarter of 2011. 
 In terms of gross profit, biofuels segment gross margin decreased from $8.9 million in the third quarter of 2011 to $6.6 million in the third quarter of 2012. The third quarter 2011 results was strong and included the impact of $1.9 million received under the USDA Section 9005 Advanced Biofuel Producers grant program. The amounts received under this program in the third quarter of 2012 totaled $753,000. 
 Additionally, biodiesel margins continues to be compressed due to a challenging economic environment for this product, including the lack of the $1 federal blenders credit. 
 Biofuels gross margin for the third quarter of 2012 was positively impacted by the sale of RINs as a company held for later resale at June 30, 2012. As previously discussed, the company does not allocate production costs to eventually generated RINs and only recognizes income on their sale when such income is realized. 
 Lastly, biofuel gross margin was positively impacted from adjustments made to the carrying value of our inventory as determined using the LIFO method of inventory accounting. 
 Chemicals segment gross profit increased to $15.4 million in the third quarter of 2012 from $13.1 million in the third quarter of 2011. We continue to look for ways to eliminate or reduce cost in our system and certain expenditures were identified in the period. 
 Additionally, chemical margins are positively impacted for the beforementioned adjustments in our inventory carrying value as determined utilizing the LIFO method of inventory accounting and from changes in capitalized inventory cost resulting from the change in product mix and inventory at September 30, 2012. Income before interest and taxes was relatively consistent with the comparable period of the prior year, totaling $19.2 million in the third quarter of 2012 compared to $19.4 million in the third quarter of 2011. 
 Net income totaled $12.5 million for the third quarter of 2012 or $0.30 per diluted share. This compares against $12.7 million for the third quarter of 2011 or $0.31 per diluted share. With respect to the financial results for the 9 months ended September 30, 2012, revenues totaled $277.2 million for the 9 months ended September 30, 2012, that's up from $220.3 million in the 9 months ended September 30, 2011. Biofuels revenue has increased from $96.5 million in the first 3 quarters of 2011 to $157.6 million in the first 3 quarters of 2012. Again, demand for biodiesels remained steady. Additionally, sales and production of biodiesel increased in 2012 as we were producing and selling a larger quantity of biodiesel for the entire period. 
 Sales in the first  9 months of 2011 were somewhat limited due to the initial conversion to lower grade biodiesel feedstock and to our adaptation to the improvements in biodiesel economics. 
 Chemical revenues decreased from $123.7 million in the first 9 months of 2011 to $119.6 million in the first 9 months of 2012. 
 Revenues from bleach activator product decreased approximately 9% during the 9 months ended September 30, 2012, as compared to the comparable period in the prior year, and revenues from the proprietary herbicide product decreased 33% in the first 9 months of 2012 compared to the first 9 months of 2011. 
 Revenues from other custom chemical products were strong, registering a 71% increase in the first 3 quarters of 2012 compared to the first 3 quarters of 2011. 
 Biofuel segment gross margin decreased to $10.9 million in the first 9 months of 2012 from $14.5 million in the first 9 months of 2011. This reduction occurred despite a positive impact in margins, stemming from adjustments on our inventory carrying value determined utilizing the LIFO method of inventory accounting. As discussed previously, biodiesel economics have been volatile and facing a considerable amount of pressure. Chemicals segment gross profit increased from $27.9 million in the first 9 months of 2011 to $38.3 million in the first 9 months of 2012. This increase resulted from our continued cost reduction efforts and reduction in cost of goods sold resulting from adjustments in our inventory carrying value as determined utilizing the LIFO method of accounting, and changes in capitalized inventory costs resulting from inventory product mix at September 30, 2012. Income before interest and taxes increased to $41.3 million for the first 9 months of 2012 from $35.2 million in the first 9 months of 2011. Net income totaled $28.1 million for the first 9 months of 2012 or $0.68 per diluted share. 
 This compares against $23.9 million for the first 9 months of 2011 or $0.59 per diluted share. 
 With that, Lee, I'll turn the call back over to you. 
Lee Mikles: Thanks, Chris. I appreciate it, very thorough. 
 A couple of milestones and updates that some -- that  Chris mentioned that I think I'd like to highlight for you. The extension of the agreement with our bleach activator customer that was signed on August 28 is very important. That goes through the end of 2016 now. Although that business is down 9% year-over-year, it continues to be a very important customer, a very important piece of business for us. 
 Additionally, I think we got a lot of comment and questions about the anode product for the lithium ion battery. And it's no secret that the uptake on that business from the automobile sector in particular has been somewhat lack-luster to say the least and not, I think, what anybody anticipated originally. None of that may change at any time but the take-or-pay agreement that we had with them in the first year ended at the end of August. So you're seeing a de minimis amount of revenue and provisions within that contract allows them to take some of the product this next year and apply it to the take-or-pay of this year. So we'll see what happens with that product. We still are very, very hopeful for that product and I think our customer is as well. But we haven't seen much thus far. 
 Additionally, during the third quarter, we saw the increase -- we saw the announcement for the increase in the RFS2 mandate for 2013. That's going from 1 billion gallons to 1.28 billion. I think that's very important is to continue to up those amounts. Looks like we're going up 25% a year. It's kind of been the number. It doesn't mean that, that will continue to happen, but I think there's some reason to believe that, that will continue in the future. I think that helps the industry. I think it pulls through. It mitigates some of that -- the dollar credit going away and keeps the better and more efficient producers viable and in the market place. And I think that's a good description of us. 
 Additionally, I think I'd like to point out how strong our balance sheet is. 100 -- over $196 million in cash and no debt. So I think it's very important to note that we believe we are the lowest cost producer and in the biofuels area. The best I can tell, I think we continue to perform on the Chemicals side, the thing that I would note there. You've got -- your 2 biggest customers: one down 9%; one down 33%. The top 2 customers in the chemical business and our chemical business is only down 4%. And we've actually increased the profitability there and some of that is timing, but we've actually increased the profitability in that business because it's no secret that the largest customers would have the lowest margins in them. And as we bring on new customers, smaller pieces of business, more specialized pieces of business, hopefully, and I think we've proven that we can drive more profitability out of those than maybe you can with some of the legacy larger contracts. So I'm very pleased with the way we performed, especially in a highly, highly volatile environment for biodiesel. 
 Remember, the renewable identification number is extremely important to profitability in this business. To give you an idea, we started the quarter with a RIN value of $1.17 and ended at $0.76. And there's no really clever way and really nowhere to hedge that phenomenon, up or down. So you're more or less hanging in the wind on that value, and we can hedge the other part of it where we do on the production side, but that has a dramatic impact in the profitability of that side of the business. So I think we executed extremely well during the quarter. 
 With that being said, I'll turn it back to the operator at this time. Thank you. 
Operator: [Operator Instructions] Our first question comes from Craig Irwin from Wedbush Securities. 
Craig Irwin: Lee, I wanted to start off on the chemicals side of the business. You talked a little bit about the battery and the contract, the take-or-pay commitment there. Can you confirm for us that there was no cash payment to true up the take-or-pay in the quarter? It sounded like the customer actually believes it's going to take product in the next year. Is that accurate? 
Lee Mikles: Chris is going to answer that question on the finance side. But I think that the customer is hopeful that they're going to take product in this year going forward and that's our anticipation as well. So I think we're gearing up to be able to provide that to them. Chris, could we talk about what was realized in the quarter, if anything? 
Christopher Schmitt: Yes. I mean, for purposes of financial reporting, in the quarter, we did not recognize any revenue associated with the take-or-pay agreement. The take-or-pay agreement has certain contingencies associated with it, which prevents the recognition of revenue at this point in time. As those contingencies lapse, the revenue will be recognized. But a cash payment has been made and that's been recorded as an element of our deferred revenue. 
Craig Irwin: Excellent. And that makes your gross margins in that segment even more impressive, 38.1% versus the average for the last 4 quarters, simple average of, what, around 31%? Can you talk specifically about what's driving the margins up there? I like the fact that you are moving the mix away from lower margin business. But is there anything specific going on in those that you might be able to share with us? 
Lee Mikles: Yes. A couple of things. Craig, I think that my comment earlier about the 2 larger pieces of business declining and we've been able to fill in with new business, I think that's really impressive. And I think that talks of the strength not only of the physical plant, but I think of the execution of the senior management team and the people at our site. And I think additionally, the thing that you need to understand about our business is we allocate our overhead, as you and I have talked about before, we allocate our overhead by reactor by revenue. Just couple of other smaller factors but revenue is the largest part of that. And as the biodiesel has enjoyed pretty robust growth year-over-year, you're seeing more allocated overhead going in that direction. So that enhances that margin. Said another way, it makes the chemical business a little more profitable, the gross margin line and has a little bit of a dampening effect on the biodiesel. Chris, you want to add anything to that? 
Christopher Schmitt: One thing I just like to add, Craig, and we mentioned it on the earlier portions of the call, but please also bear in mind that the inventory costing method that we've historically used can interject some variability into our cost of goods sold. That's -- I'd encourage you to -- I think you can get to those -- get to that figure by looking at the financial statements and the footnote surrounding that. So I encourage you to also look at that impact as well. 
Craig Irwin: Okay, okay. And then the last question I have on the Chemicals side was, in your 10-Q, you break out obviously your NOBS and herbicide -- pretty much herbicide customers as well as a couple of other things. But you talked a little bit about the other chemicals category and I noticed that, that was up 83% year-over-year. I'm going to guess this is new customers, but can you talk about the relative size of your other chemicals category? And whether or not any of the new customers that you're adding in there have potential to become a more significant contribution on the P&L? 
Lee Mikles: I'll let Chris talk about the specific numbers because we're coming off a pretty low base, that's why those numbers look pretty robust. But yes, I think that they do, Craig, to your final comment there, let me answer that last part of your question first. I think they do have the possibility to become bigger customers, and maybe not in the particular product that we're not producing for them, but to establish those relationships with the larger players that we're making intermediates for. Maybe it's a finished product for, have the -- have an opportunity to not only to expand the current business but further that relationship as we demonstrate our ability to those customers that may be coming to us for the first time. So I think we're very encouraged by that. I think that our pipeline to do business that we're bidding on and looking at have the potential to get is -- and I've said this for a couple of quarters and it just happens to be true. It's probably the most robust I've seen since we've had this site. But Chris, you might want to talk about the new business and 83% increase and that kind of a relative level of what we're talking about? 
Christopher Schmitt: Lee, I would underscore what you went off with that you do know a fairly low base -- starting base, which is significantly helping that percentage increase. And this is an area that we're focused on. I mean, when we disclose every quarter, the percentage change and the bleach activator and the proprietary herbicide product. And we know that we need to keep new products coming and we're starting to see that in the other custom chemical area. So this particular category is largely impacted by one particular product that we make periodically for a customer that is seeing good demand in 2012 relative to 2011. 2011, it was rather spotty and 2011 [sic] (2012) has been a consistent level of demand. 
Lee Mikles: And Craig, please note that we've added additional talent and either brought them on or moved talented people within the organization to this effort. So it's something that we've been keenly focused on. And I think it's starting to show results. 
Craig Irwin: And then just moving over to the biodiesel side of the business, if I may. RINs are a very important part of the conversation. From my work out there and my conversations with some of the other producers in the industry, I understand that the success of the industry is one of the things that's also impacting RINs with maybe a little bit of overproduction in '11 where we might have a small excess of RINs at the end of the year. But people are pointing out to me that 2013 RINs are actually trading in a fairly significant premium to 2012. Can you speak about whether or not you've seen significant volatility in RIN prices as a function of the production and the actual volumes that RINs produced? Or if you've observed an impact from some of the noise out there regarding the ethanol side of the biodiesel market? 
Lee Mikles: Okay, Craig, I'll take that initially. The answers are yes, yes, and yes. Those are the answers and let me fill in. I think there could be some overproduction this year. I'm a little bit surprised by that. When we look back at the numbers for this year. Unless you're an integrated producer, meaning if you're a [indiscernible], an ADM or whoever it might be out there, that it's actually growing soybeans. In my estimation, there's nobody that could have produced soy-based product during the course of the year unless you are actually fully integrated profitably. I don't think they can do it. And I think those margins would be -- would've been significantly negative. But when we look back during the year, you can see that these larger producers these fully integrated to produce as much as 300 million gallons, maybe 350 million. I think without them in the marketplace, it's very unlikely you would've gotten to that billion gallons that I think you're going to probably hit or exceed a little bit this year. Why would they be in there producing at a negative margin for everybody else? Well, clearly, they have a cost basis that's unlike anyone else, and I think there's some talk and some utilization within the market that they're going to use some of that -- some of that crushed margin as they crush that soy to help themselves continue to support the oil market out the other side, because they obviously help the other side of the market. So they're taking a little bit of the supply off the marketplace to continue to make sure they get the pricing out the other side, which is a much bigger business for them. 
 You're correct that the 2013 RINs are trading -- RINs yesterday were $0.53 for the 2012 RIN. I think '13 RIN is trading higher than that. You can see how that on OPUS [ph], it's all public information. So it is higher. The question for next year, when you look at 1.28 million gallons, can the industry produce to that level or exceed that? And my answer is, I think you're going to have a little bit of an overhang in the 2012 RIN that has to be rectified very quickly. But without the large integrated producers in there, I'm uncertain that you can get there with competitive capacity that's really out there. That guys can produce profitably with a lower valued feedstock. There just aren't that many producers that can do it. And again, as you and I have talked about numerous times, we really use a product that very few can use, and we use it exclusively. So that's corn, I know that's yellow grease, that choice white grease. We don't use any soy in our product currently because it's just not profitable. So it's really a question going forward on whether those large integrated producers are going to be there or not. 
Craig Irwin: Great. And then my last question. Profitability on the biodiesel side looks pretty impressive given the dynamics upon RINs and the swings in commodities in the quarter, 14% versus some of the larger producers that were in the low single digits. Can you talk a little bit about the contributions in there? And one of the things that you did mention in your Q, and I think Chris mentioned in his prepared remarks that the sale of RIN that you held last quarter. Can you maybe break that out and discuss the specific drivers of profitability in there? 
Lee Mikles: Sure, I'll let Chris handle the numbers. But again, that hangover of RINs clearly had a pretty remarkable affect on profitability for this quarter. Now said it in another way, Craig, it would have diminished the profitability in the prior quarter, obviously. But again, and you've seen a little bit of a break in feedstock prices in all of that. And again, you have this natural balancing act as this teeter totter as RIN prices go down and fewer people couldn't produce profitably. You get less product in the market, less RINs in the marketplace and you'll see a rebound of RIN prices which we've seen off the bottom. So these things happen. But Chris, why don't you handle the kind of dynamics the profitability in that segment this quarter? 
Christopher Schmitt: Yes, I mean, there's no doubt that the biofuels segment was benefited from the sale of the RINs. We're in overhang position from June 30. If that lets that revenue roll through, there was no cost to goods sold allocated to those RINs. We don't allocate production cost to RINs. And we only recognize the income upon sale. So that is definitely a factor influencing things. I think what I would encourage you to do is to look at the results for biofuels for the entire year, January through September. That will eliminate that impact and in terms of a RIN overhang at the end of September, I mean, the position was effectively 0. So I think if you look down on year-to-date period through 9/30, you have a pretty good indication of profitability for biofuels so far. 
Operator: Our next question comes from Ian Gilson from Zacks Investment research. 
Ian Gilson: Following up on the RIN question. Was there any overhang of the older RINs? If I remember correctly, there was an expiration period on those RINs? Is the price differential due to the fact that the large number expired this year? 
Lee Mikles: It wouldn't have affected our quarter. But those 2011 wins that you might be speaking of would have been reconciled much earlier in the year. These are just -- these are RINs carried quarter-to-quarter as we make business decisions that we do every quarter, sometimes it's a lot, sometimes it's a little. So that's either through product, Ian, that we have sold where we're actually the blender, and we're taking the RIN and sell the product without the RIN attached, and we have customers that want to take -- RIN-less product from us, so that's where we get -- we end up with the RINs in that situation. But -- it's not an expiration issue. 
Ian Gilson: Not to you, but how about any of the other producers? 
Lee Mikles: Can't answer that. 
Ian Gilson: Okay... 
Christopher Schmitt: Ian, 2011, 2012, 2013 RINs, I mean, they are good for -- and I don't have the regulations in front of me, so please don't hold me to it. My recollection is they're good for approximately 2 years. 
Lee Mikles: Yes. Probably 2 years is correct. 
Christopher Schmitt: Yes. 
Ian Gilson: Okay. In the biodiesel, looking at the second quarter to third quarter, you actually doubled gross profit on a decline in revenue. What were the factors in there? 
Lee Mikles: Principally, RINs. I mean clearly, our feedstock differential, sales price differential, hedging differential but Ian, at the end of the day, the reduced revenues and increased margins is really the RINs sale. Because you really drug it from one quarter to the next, and that's why every quarter, I'm quick to point out that it's hard to look at that business on a linked quarter basis. The chemical business is pretty easy to look at it that way. But the biodiesel business is very tough to look quarter-to-quarter and I think that's why Chris's suggestion to look at the entire year probably gives you a better picture. 
Ian Gilson: Okay. On the availability of yellow grease and white grease. Is there enough in your geographical areas and meet all of your needs going forward? 
Lee Mikles: Well, I think there's enough in the marketplace in our view. And as the markets become less profitable, there's more product in the marketplace, those prices get down. To say it's all on our geographical area, again, that has to travel a certain distance from the rendering sites whether it be in Northwest Arkansas or some other part of the country. And that's brought in by rail and product typically goes out by truck. 
Ian Gilson: Okay. But the cost of bringing those in from a larger distance has to have an impact. 
Lee Mikles: Sure it does. Sure it does. But again, we're able to buy product in sufficient quantities at prices that we find attractive. We run a very sophisticated matrix along what we could pay for product, what our yields going to be on that product. And again, we typically hedge our product immediately on our production side as soon as we buy it. So it's all factored into the price. How far is it coming? And what the prices landing in our site. 
Ian Gilson: Okay. Has government solved the problem of counterfeit RINs? Are they still floating around or has that ended? 
Lee Mikles: Chris has probably dealt with that more than I have. But again, I think most of that of the fraudulent RIN issue, Chris correct me if I'm wrong, revolves around RSF1, and I think those were 2010 RINs. For the most part a couple of parties have been indicted. Again, I think there's a little bit of a taint in the industry reluctance initially for buyers to take RINs that they've been burned by the fraudulent RINs or at least see conversation about that, but someone who is a legitimate producer as we are, New York Stock Exchange company, know that we're going to be around tomorrow. I think there's a little bit of a benefit, even though there's a taint in the industry, which is starting to go away and starting to be resolved. And I think there's a conversation and a push forward to have a certification process put in place, for lack of a better term, for RINs, which I think is a very good idea. But again, I think that even though there's a little bit of a taint within the industry that started to go away, we're one of the guys that people can look to as being legitimate producers, legitimate RINs and real guys in the business. They're going to be around for a long time. 
Ian Gilson: And on the tax rate, it's quarter-to-quarter and I know that each quarter sort of includes an adjustment, against your full year estimates, we've been pretty volatile on that tax rate. Is there any particular reason why? 
Lee Mikles: Chris? 
Christopher Schmitt: Well, there's been a little movement back-and-forth, Ian, with regards to a different tax deductions are applicable or not applicable. And then in addition to that, we have to add a valuation allowance from time to time, which has also increased and decreased as deemed appropriate, which has also impacted that effective tax rate. And we do disclose the devaluation allowance at the end of each period. And I think if you were to adjust for that element, I think you would see a more stable effective tax rate. 
Ian Gilson: Okay. So we're looking forward at 37% range next, and year is in the ballpark? 
Christopher Schmitt: I'd say it's in the ballpark. I mean, I think if you look at the tax rate in the 9 months ended 9/30/2012. I think you'd probably choose the valuation allowances remain relatively constant from June 30 to 9/30. So all things being equal, the effective tax rate that you're seeing in there for the 3 months ended 9/30 is probably a pretty reasonable estimate. 
Ian Gilson: Okay. And my last question is there were some moves within Congress to add back a tax credit, is that an event? Is there still anything out there that might suggest that we could get a tax credit like what happened in, what, 210 -- 2010 rather. 
Lee Mikles: Ian, I hear those conversations, and I hear that pitter patter, and I don't buy it candidly. That's just my opinion. It -- again, I've -- on my record, it's saying I think it's a better business without the tax credit just because it keeps the knuckleheads out of the business. You got to be an efficient producer to be able to compete in the business, and I think it takes us out of the spotlight of Congress. Now there's been some talk that I may be included in the farm bill here at the year end, but again, that would be -- that would be unexpected. 
Operator: [Operator Instructions] Our next question comes from Chris Kuchanny from Revelation. 
Chris Kuchanny: Just had a couple of questions. Most of my questions have been answered already, actually. Just in terms of the specialty chemicals business. It's already been highlighted, obviously. It's great to see these new business lines doing well and making up for the reduction as expected in the bleach activator and other businesses, but can you discuss a little bit further that profile of those new business lines or the expansion of the business lines you're seeing in the Chemicals business? 
Lee Mikles: I think generally, Chris, I think the way to look at those businesses are, again -- and I'll get the number on with the magnitude right. If we look at hundred pieces of business a year, probably you're down to a dozen pretty quickly. Either we don't perform that chemistry, we don't have the availability of reactors or the wrong reactors or it's just a price expectation that's not going to be realized by us. So again, we whittle it down. We've put a lot of human resources in this particular area to drive this side of the business. But again, I think it's developing new relationship. And for the most parts, it's intermediates, we make a lot of intermediates. We make a lot of this that you'd see us adding business are intermediate products that ultimately end up in some of the finished products, maybe there's another process afterwards. But again, I think there's been a new effort put on our part. I think there's -- as we build these relationships, these new relationships with other customers, new customers that maybe hadn't done business in the past or haven't done in years are starting to add smaller pieces of business. And again, I think we're out there competing and I think our cost structure allows us to compete for a lot of business that otherwise maybe in the past they really couldn't have done. So very encouraged by that. I don't know if I can expand on it anymore than that given the status of some of those pieces of business. But what we brought in we're happy about. We think we can expand on those relationships and I'm extremely positive about that side of our business. 
Chris Kuchanny: That's great. What's the pipeline look like for the new business you're looking to win in that category? 
Lee Mikles: I think I said earlier, Chris, and I stand by it. I think the pipeline is as robust as I've seen since we've owned this particular site. I'm very encouraged by it, and the type of customers that we're attracting can not only provide the pieces of business that we're competing on now but there's other businesses in a collaborative effort with these people that I think that we can drive going forward. So we're very encouraged by it. 
Chris Kuchanny: Okay, great. And just quickly on the biodiesel. A lot of this has been covered but just to tie a few things together. The RINs prices are multiyear lows at these levels and you're still being able to make a profit. So we find that very encouraging. And then the new RFS2 mandate is obviously also equally encouraging for the dynamic of the industry. I really want to just tie in the of how this is going to relate for your future productions? Because I think in the past you've limited to 60 million gallons a year, but based upon the tax credit, now you're saying that while it doesn't look likely that, that tax credit is going to come back. I mean, obviously, we got a new administration we're all waiting for now. And we haven't heard anything definitive or likely and necessarily on that tax credit coming back. You think over the medium term that might be positive because it takes out all the weaker mom and pop, kind of farm-in type players. So just in terms of what that means for your potential production activities. First of all, are you currently kind of running the call option of having the tax credit by limiting production to that 60 million gallons at the moment? And do we have the potential for that to increase materially from there? 
Lee Mikles: Just couple of things. I don't anticipate that tax credit coming back. If it came back, it would be a surprise to me. I will tell you and we say this in  the Q that we're -- our production level is in excess of $45 million. We're trying to push it back to $60 million and maybe above that. Again, I can't tell you whether we can get to that or exceed that because, again, it's all about what our next bottleneck is. We're currently adding some processes in the front end as we speak to try to increase that production and get higher volumes through. But again, I don't think that we'll plan in any part of our business that calls for that dollar coming back because I think it's highly unlikely. If it does, we'll adjust to it. I don't think there's anything that we have to do in anticipation of that, because I think it's a remote possibility. And again, I think the dynamics of the business are pretty fluid as we speak. But again, I think that, I've said many times, we're using the lowest valued feedstocks in the marketplace as long as we continue to do that, continue to drive that side of the business and be as efficient or more efficient than everybody else in the business. We'll make more profitability along the way. And when the market gets tight, we may be one of the few, if not the only guy, that's being able to make money in the business. But there's some natural leverage in that business that I talked about before as it relates to feedstocks, as it relates to RINs, and who can make money and why that natural teeter totter happens. But again, very little of our contemplation has anything to do with that dollar coming back. 
Chris Kuchanny: So just to be clear, the bottleneck that you're talking about is more in regards to profitability. And it's not really feedstocks or -- I mean, it's obviously not the size of your plants or I mean your storage capacity has increased significantly as well I believe over the years. So I mean, is it just a question of profitability whether you go beyond that $60 million at this stage? 
Lee Mikles: Could be, could be, but it's really production as well. Again, when you're using feedstocks like we are that are very difficult to handle, there's processes and procedures that have to be done at  the front end of the process that are difficult and challenging. And again, it's really how much flow we can get through our process with these lower-valued feedstocks, and then it ultimately is what market you have on the other side. I think there's a recognition of a balance there. But again, we want to get as much production available to us as we possibly can with the type of feedstocks that we make product out of. 
Operator: Our next question comes from Craig Irwin from Wedbush Securities. 
Craig Irwin: There's just a couple of things I wanted to circle up on. Your 20 million gallons of storage is obviously a pretty nice asset to have, particularly given that it's unique versus your peers in the biodiesel market. Can you talk a little bit about whether you've seen the impact on feedstock prices that were expected by the increased slaughter we saw this year? And how you potentially see this playing out in the back end of the year as far as being able to use your feedstock storage to help for next year? 
Lee Mikles: Really an important question, Craig. I think the early slaughter, if you will, given the drought circumstances, we just talked about this a day or 2 ago, Chris and I were talking about this phenomenon. I think we saw a reduction in price. I don't think it was as big as we thought it was going to be and that more or less stabilized quicker than we thought it would. But having said that, where we sit today in the marketplace for feedstocks is different than it was a month or 2 ago. And some of that has to do with RINs. I mean, when  you look at RINs going to the end of the quarter from $0.73 to $0.53, fewer guys can make money. So it puts more feedstock available on a marketplace to be purchased at more attractive prices. So again, there's just a little bit of this balancing act. To your point about the back end, I don't know. If the front end is any indication, there may be a little -- the natural offset to that would be an increase next year. I think it has a little bit to -- I guess a lot to do with what the crop is likely to look like next year, what the plan looks like, meaning what the planting season looks like, et cetera. So if there's an increase next year, as small as it was this year and as short lived as it was this year, we may see that same phenomenon at the back end. But again, I'd be speculating about something that hasn't happened yet. So it's a little hard for me to determine. 
Craig Irwin: Great, great. And another question I wanted to ask hasn't been asked yet. Is M&A -- the outlook on M&A and your $200 million cash balance, if you don't see any targets that would necessitate a big chunk of that, that cash position you have, would you potentially consider options for returning that to shareholders? 
Lee Mikles: Sure. Let me take the last one first. I think the board continues to evaluate all opportunities to enhance shareholder value. And again, that could be in the form of an acquisition, it could be buyback of stock, it could be a special dividend, increase of the regular -- it could be all those things. Just like any corporation in the country, especially one that has a strong balance sheet like ours. So again, I think that we've been -- we have a history of being shareholder-aware, and the board considers those constantly and now is no exception. I think on the M&A front, I think we see a lot of activity. I think we're seeing a little bit more on the chemicals side than we've seen in the past, whether that's was guys trying to do things by the end of this year, I don't know. But we looked at some things, signed a lot of MDAs, looking at different potential acquisition candidates, both on the biofuel side and on the chemicals side. My sense is that the -- it's just my sense, is that the prices are starting to become more realistic. Now that's coming down from completely unrealistic. But again, I think that in the perfect world, we would love to make an acquisition or a series of acquisitions. I think we have the management capable of being to do that. I think we have the processes and procedures then to evaluate those. So I think that's an ongoing effort. In a perfect world, that's what we would love to do. Again, we're looking and proceeding actively. But again, the lack of M&A activity on our part isn't for lack of effort. It's lack for finding the right asset at the right price. 
Operator: Thank you. I'm showing no one else in the queue at this time. 
Lee Mikles: Well, thank you, all, very much. I appreciate it very much, and I speak for Chris and all the senior management team and all the stakeholders of FutureFuel. We appreciate your interest and look forward to talking to you next quarter. Thank you. 
Operator: Ladies and gentlemen, thank you for participating in today's conference. This concludes our program. You may all disconnect and have a wonderful day.